Operator: Welcome to the CVR Energy’s first quarter conference call. (Operator Instructions) It is now my pleasure to introduce your host Stirling Pack, Vice President IR for CVR Energy.
Stirling Pack: Welcome to our first quarter conference call. With me this afternoon are Jack Lipinski, our Chief Executive Officer; Stan Riemann our Chief Operating Officer; Tim Rens our Chief Financial Officer and various other officers of the company. We appreciate very much you being here. Prior to our discussion of our 2008 first quarter results we are required to make the following Safe Harbor statements. In accordance with the Federal Securities Laws the statements in this earnings call relating to matters that are not historical facts are forward-looking statements based on management belief and assumptions using currently available information and expectations as of this date and are not guarantees of future performance and do involved certain risks and uncertainties including those filed with the Securities and Exchange Commission. This presentation includes non-GAAP financial measures. Disclosures related to such non-GAAP measures required by Regulation G can be located in our website at www.cvrengery.com or on Form 8-K which we filed today on 15, 2008. Now we will hear first from Jack Lipinski, our Chief Executive Officer.
John Lipinski: As Stirling mentioned this morning we’ve reported our first quarter earnings of $0.26 per share. This compares with a $1.79 loss per share pro forma for the first quarter of 2007. These results were achieved in a challenging environment for refiners but in a strong price environment for nitrogen fertilizer producers. I will begin providing an overview of the refining industry operating environment highlighting some of CVR’s relative strength within that environment and summarize other activities in the first quarter. We will discuss our segment operations and financial results in more detail later in this call. Despite numerous advantages from our mid-continental location that we have discussed on previous calls, the operating environment for CVR's petroleum segment was difficult during the first quarter of 2008 and continues to be challenging. Refining margins were narrowed due to nearly doubling of the crude cost over the last year and to weak gasoline price spreads. Crack spreads have simply not kept pace with crude prices. Relatively strong little distill cracks however provided some offset to weak gasoline margins. Now, 40% of our product slate is also Ultra Low Sulfur Diesel, which provides us some additional tax credits as well. Gasoline makes up about 48% of our refined products. Other products including petroleum, coke and LPG's comprise of our remaining production. Pet coke is the principal fee stock to CVR partners adjacent to the nitrogen fertilizer plant. Adding this outlet provides a secure location for us to store and sell our refinery petroleum coke and it provides for a significant end product upgrading capability at the fertilizer plant. Let me mention a few metrics to putting context or refining operation. WTI crude oil averaged $58.27 a barrel in the first quarter of last year and $97.82 a barrel in the first quarter of this year 2008. March WTI prices averaged just over $105 a barrel and crude prices as we speak are $124 and have reached as high as $127 a barrel. NYMEX 2-1-1 crack spreads as a percentage of crude prices were about 21% in the first quarter of 2007, compared with only 12% in the first quarter of 2008. The Group 3 basis differential which reflects historically mid-continent demand in margins averaged $1.10 a barrel in the first quarter of 2008 and that compares to $4.12 a barrel for the comparable period in 2007. The proper location for pricing oil refinery is Group 3 of the mid-continent area. Another metric for evaluating our relative refining operating environment is that of a Western Canadian Select to our West Texas Intermediate crude or what we call WCS, WTI crude test. The pricing location for these crude’s is Hardesty, Alberta and Canada and Cushing, Oklahoma respectively. The CSTI differential reflects the relative prices of heavy sour crude oil versus light sweet crude oil available to us. In the first quarter of 2007, the differential was $14.80 a barrel below WTI. For the first quarter of 2008, this deferential averaged slightly better at $19.84 below WTI. Comparatively, for the fourth quarter of 2007, the differential was $32.50 below WTI. CVR as a complex medium sour refiner benefits from a widening differential because of our ability to process these discounted heavy Canadian crude’s. During the quarter, we also purchased and began processing a 500,000 barrel cargo of rocky crude, which became available at very attractive discounted price due to a short-term market over hang from a Gulf Coast refinery disruption. We purchased the second 500,000 barrel cargo in April; also had a very attractive price. This shows the relative flexibility we have in accessing favorable worldwide crude’s through our Cushing hub. Given the low margin operating environmental of the first quarter, we reduced our average run rates to about 106,500 barrels per day and during that time advantageously completed another segment of our planned expansion project and that included upgrading of our diesel treater number one. This work will allow the units to operate at higher throughputs and for longer cycles going forward and as part of our comprehensive expansion program. We began operations on our new CCR unit in the first quarter with the resolution of a number of initial shake-out items that really limited our full use of the unit. In turn some of our operating results reflect that less than solid performance of our CCR. We again experienced some significant operating problems with the unit in late May and early April, but with the assistance of our technology supplier. We address these issues and the unit is now running properly at designed rates and yields and we are now -- believe our issues are behind us. All other units in the refinery are running at rates that equal or exceed our expectations from our plant capital expansion. We have some work remaining, to do on this overall program and that will be completed over the next several months. Our other petroleum segment businesses namely, crude gathering, transportation and pipelines, thermals operated in line with our expectations and should continue to do so. Our fertilizer segment operating and environment provides a positive contrast to that of the refining industry. Prices for both ammonia and UAN reflect strong demand, UAN by the way is Urea Ammonium Nitrate a it’s a solution that is our primary product. Crop acreage and fertilizer usage are driven by proved demand and corn usage for ethanol bio fuels. Ammonia gate prices averaged $494 per ton in the quarter, compared with $347 per ton in 2007. UAN prices averaged $262 per ton versus $169 per ton, quarter-over-quarter. Importantly for our business published industry forecast indicate price strength over the next few years in the fertilizer area. Our order book for the remainder of 2008 and into 2009 reflects very strong demand in prices for nitrogen fertilizers. In light of this strong nitrogen fertilizer margin environment, we have elected to postpone our schedule mid-year full plan turnaround at the fertilizer facility until October of this year. This will allow us to maximize overall 2008 earnings. In addition, this month we’ve taken the several day outages to replace some specialty catalyst. This change out will allow us to run through October at higher production rates. While this will have some impact on Q2 results and will improve Q3 results significantly and will allow us to take advantage of historically high prop fertilizer prices. As you know our plan for an MLP at the fertilizer segment has been disclosed in an F1 registration statement with the SEC. Under SEC rules we are strictly limited in what we’re able to say about the MLP. We are currently reviewing our response to the SEC. At this point, I would like to turn this over to Tim Rens, our CFO to discuss our financial results. Afterwards Stan and I will rejoin the conversation.
James Rens: I would like to remind everyone that CVR Energy does use the inventory methodology of FICO as opposed to LIPO, which many of the independent refiners use. Also our margins continue to be impacted by the unrealized gain or loss on our long-term hedge position to assist in better understanding the impact of the unsettled swap from our results, we report the income adjusted for unrealized gain or loss on cash flow swap. I will discuss the operating income by segment and turn to discussion of SG&A on a consolidated basis as it’s more meaningful. For the quarter ended March 31, 2008 we reported net income of $22.2 million or $0.26 per common shares; that compares to a net loss of a $154.4 million or $1.79 per common share pro forma for the comparable period in 2007. Excluding the impact of the unsettled swap position we had adjusted net income up $30.6 million from the first quarter 2008, compared to an adjusted net lose of $82.4 million in the first quarter of 2007 and I mentioned on previous calls exposure to the swap reduces significantly at the end of the quarter 2009 and expire completely at the end of the second quarter 2010. The first quarter continued to be impacted by the food and includes $5.8 million of net costs associated with the flood. Operating income for our petroleum segment was $62.6 million for the first quarter of 2008 compare to a loss of $62.5 million for the first quarter of 2007. The results for the first quarter of 2008 benefited from the FIFO gain of $20 million compared to a FIFO gain of $5.2 million for the comparable period in 2007. Refining margins per barrel, including the FIFO impact for the quarter was $13.76 compared to $12.69 for the first quarter of 2007. Refinery direct operating expenses exclusive of depreciation and amortization are $40.3 million or $4.16 per barrel of crude throughput for the first quarter of 2008 compared to $96.7 million for the same period in 2007. The 2007, direct operating expenses include $60 million associated with the first quarter turnaround. Operating income for our Fertilizer segment was $26 million for the first quarter of 2008 compared to $9.3 million for the first quarter of 2007. Higher prices for ammonia and UAN were the most significant contributor to the increase and we're somewhat offset by lower production volume and higher operating expenses. Direct operating expenses were $20.3 million for the quarter compared to $16.7 million in 2007, with the increase primarily the result of property taxes and maintenance expenses. SG&A expense for the quarter was $13.4 million compared to $13.2 million in the same quarter of 2006. I will now briefly have some discussions regarding our cash flow and current liquidity. Capital expenditures for the first quarter of 2008 were $26.2 million compared to $107.4 million in the first quarter of 2007 reduction as a result of completing much of the company’s plant, $520 million capital project that was started in June of 2005. As of April 30, 2008 total outstanding debt was $510 million excluding approximately $124 million owed to J. Aron under the terms of the one year deferral and that ended August 2007; as a result of the flood and excluding the estimated unrealized mark on the long-term swap of 241 million. On the same date the company and its subsidiaries had $9 million of cash on hand and $100 million available under its revolving credit facility. We still anticipate insurance recovery related in the flood damage and loss production as represented by the $85.7 million accounts receivable that we recorded on our balance sheet as of March 30, 2008. We had made progress working through the claims process, but cannot accurately predict when this may come to a conclusion. Income tax expense for the quarter ended March 31, 2008 was $6.9 million or 23.56% of income before income taxes as compared to an income tax benefit of $47.3 million or 23.34% of earnings before income taxes for the three months ended March 31, 2007. The company under GAAP accounting treatment is required to calculate income tax expense for quarterly periods on an expected annual effective tax rate for the full year. Under this required method the company calculates expected effective tax rate based on expected pre-tax income with modifications for some non deductible and other items and with the inclusion and expected tax credits to be earned for the year. Total estimated gross tax credits for 2008 are approximately $64 million. The tax credits result from the 2004 Jobs Creation Act related to the production of Ultra Low Sulfur Diesel and credit issued under the Kansas high performance incentive program. In the end on an annualized basis the company will recognize tax expense at the statutory rate of 39.875% on pre-tax earning with modifications for the non-deductible and other items and then benefit from the tax credits of approximately $64 million. And then most of you have seen the company has discovered an error in it's previously reported 2007 results, which resulted in a no reach statement. In light of the need for this restatement the company has identified the internal weakness and its internal control over financial reporting with respect to accounting for the calculation of the cost approval purchased by the company and associated financial transaction. That concluded the company’s disclosure controls and procedures were not effective as of December 31, 2007 solely because of that material weakness. As a result of this matter the company has implemented certain changes regarding crude oil accounting, including centralization of the relating accounting function and improved oversight and reviews those functions. Jack Lipinski our CEO will next highlight some recent significant events and discuss other petroleum segment operation.
John Lipinski: Thank you Tim. I have already provided an overview of the petroleum refining environment, so I’ll do limit my remarks to segment discuss under specific operations in the first quarter and review our forward plans and I will be brief. As I mentioned earlier throughputs for the refinery average about a 106,500 barrels per day during the first quarter of this year and that compared to 47,300 barrels of day in the first quarter of 2007. Clearly I understand that the 2007 throughput reflected a full plant turnaround which was completed in April of last year. As a result of our capital expansion work, we processed more heavy sour crude in the first quarter of 2008 than we did in Q1 of 2007. Looking at it on a percentage basis in Q1 of 2008 we averaged about 14% of heavy sour crude’s as a percentage of our total throughput versus less than 1% in the first of the first quarter of 2007 and again remember; 2007 was a turnaround quarter. But it was this turn around in expansion that allows us to now process these attractively priced heavy sour crude’s and our ability to access and process these crude’s is what we consider a Keystone advantage and a competitive strength for CVR Energy. With respect to our announced refinery expansion plans, we will complete remaining scope of what we called our Phase I expansion before year-end these tying some loose ends together and doing some work across the plant. We are achieving most of the results of that expansion program right now. We are continuing with the engineering on our next Phase of our expansion, but as always we will review all the proposals to make certain that projects meet our internal hurdle rate and examine the appropriate timing of construction. We have always considered the best interest of our shareholder in any plant growth or expansion plan. This concludes my review of the petroleum segment and now I ask Stan Riemann, our COO to discuss the quarterly results for a nitrogen fertilizer asset
Stan Riemann: As Jack pointed out in his opening remarks and as Tim reported in the financial review, the natural fertilizer business is benefiting from historically strong demand for agricultural production as well as the biofuel production. We benefit not only from the overall market conditions, but also from our use of low cost petroleum coke produced in our refinery as a feedstock, as opposed to natural gas, which is a more typical feedstock from North American fertilizer producer. We have a newest nitrogen fertilizer facility in North America and remain the lowest cost producer of ammonia, urea ammonia nitrate solutions or UAN. Our competitive price advantage is further amplified by rising energy prices overall at higher natural gas prices in particular. For example, quarterly 2008, average natural gas prices in our market average $8.74 permitting BTUs, compared with $7.17 for the same period in 2007. This implies a minimum increase of $50 internal production cost to the North American producer leading natural gas and environment which our production costs remain substantially unchanged. Additionally, our Midwest location provides prompt direct access to many of our primary markets and as well as minimize the shipping costs to end users. With respect to 2008 quarterly results, we’ve reported ammonia production of 83,700 tons versus 86,200 tons for the first quarter of 2007. For the first quarter of 2008, UAN production was 150,100 tons as compared 165,700 tons in 2007. Ammonia sales totaled 24,100 tons in the first quarter versus 20,700 tons in 2007 comparable period. UAN sales declined to 158,000 tons compared to 166,800 tons in the first quarter of 2007. This variance reflects maintenance in modification of our joining their separation unit which provides oxygen as well as nitrogen to our process. Jack previously gave the quarterly price comparison for ammonia and urea and so I will not repeat them here. However, to give some indication as to the current prices, we are seeing in market and to provide additional context to the strength of our business I can state the current ammonia prices are exceeding $660 per ton and UAN prices have exceeded $400 per ton. Third party price forecast indicate continuous strength for the next several years. With respect to the near term, we have rescheduled our turnaround for October as Jack stated; this allows us to take advantage of the current market prices. For the future we continue with plans for the full conversion of our ammonia production to UAN and for expansion of total UAN capacity in 2000 to 3000 tons per day. In conclusion we see this business segment as a very solid contributor to CVR’s overall growth strategy into the foreseeable future. Jack has a few concluding remarks at this time before we move to your questions.
John Lipinski: Thank you Stan; again we have reported a profitable first quarter in a challenging environment for our petroleum segment and we’ve discussed the strength of our fertilizer operations, and their impact on CVR’s consolidated earnings. With respect to operations in the second quarter of this year we have reduced crude oil in April to about 100,000 barrels a day during which time we completed some needed repairs to our delayed coping unit and to our CCR. May 1 is our forecast to average over 105,000 barrels a day. We have worked our way out of any CCR operating issues earlier in the month and have continued to raise rates. We are currently now running approximately 115,000 barrels a day, the CCR and Coker are running very, very well. CCR is running at designed rates in yield and is running well following the Coker outage. That unit demonstrated rates of up to 25,000 barrels a day. Even if these crude rates that we’re running right now 115,000 barrels a day; we’re purchasing approximately 2000 barrels a day of vacuum tower bottoms, a supplemental Coker feed. We purchased this material at approximately -- at a discount to WTI of approximately $60 barrel. Very recently tax spreads have improved. Today they are in the range of $18 to $19. They are approaching $19 which is better than they have been for the last several months. Prompt ammonia and UAN are in the range of $650 to $700 for ammonia and $400 a ton for UAN. We are quite happy with our fertilizer operation, we are actually happy with the way our refineries are running. We believe that, we have two businesses and we are actually quite thrilled to have a fertilizer business in today’s market and that’s what differentiates us from other peer player refiners. With that I will turn this over for questions.
Stirling Pack: Jen this is Stirling; would you go ahead and begin the question period then please.
Operator: (Operator Instructions) Our first question comes from the line of Jeff Dietert with Simmons. Please proceed with your question.
Jeff Dietert: Jack, I have a question for you on your strategic outlook as you execute some of your plans over the next few months its going to improve your flexibility, could you talk a little bit about acquisitions versus expansions and how you look at that given that acquisition process have moderated a bit relative to previous transactions in, ’06 and ’07?
John Lipinski: Jeff that’s a very good question. The thing that we look at when we look at acquisitions is we look at the asset that we’re buying. Right now, most of the assets that are on the market, I’m not going to quite call them castaways, but they are not Coffeyville resources which we bought three years ago. We look at them, we look at every asset that comes on the market, we analyze it to make sure it’s appropriate for us. We are not looking at buying an asset and then having to get into another major capital program as we go forward. It’s our business where certainly acquisitions are more attractive per barrel today, than they have been in the last year or two, but you also have to take a look at what you are buying. We are interested in sour facilities that have capability of heavy sour, but that don’t require several hundred million dollars to top grade and quite honestly, there is nothing out there right now.
Jeff Dietert: Very good, you talked on the fourth quarter call about some adjustments that you’re looking to make to improve diesel yield; could you give us a follow-up on that and talk about how your diesel yields played out this quarter?
John Lipinski: Again, we are approximately 40%, we are maximizing cut points. We -- as a ratio of 40% diesel to 48% gasoline that’s a little better than we have been before, we have some marginal improvements to continue to make. With our CCR, its quite interesting that even though gasoline margins are somewhat impacted. You may actually see us use the capability of that unit with its octane and hydrogen generations potential, to buy a low quality natural gasoline feed stock and blend them and actually make money, making gasoline. So depending on the quarter you look at us now, that’s all piled into our LP, so even if the relative percentage goes up its not that we are changing our base operation. We maximize distil it, all we can from crude. We may actually lighten the crude slate slightly to allow us to raise rates on our CCR, which allows us to blend off other low value components, which are actually very attractively priced and we can make money on. Our LP is actually directing us to do that right now. That’s one of the reasons our CCR is running at 24,000.
Jeff Dietert: Yes, it looks like your -- you have 14% Canadian heavy, that was down a little bit, but that’s were the LPs arguing for highest profitability correct?
John Lipinski: That’s right, because now that we have the iron on the ground in the form of the new CCR that allows us to rise rates and improve liquid yield. As compared to the semi -- the very old semi regions reforming unit we had our liquid yield was actually up on the CCR, the hydrogen production is up and the octane potential of this facility is up. As a matter of fact, we started shipping -- we don’t make very much premium. We actually shipped, I believe in the first quarter, our first tender of premium into the Magellan system and if I’m wrong on the date it was April but it was very recently.
Jeff Dietert: Good. Quick final question on ammonia and UAN; where are you seeing third party indications for pricing for the full year 2009?
John Lipinski: 2000 -- Well if you -- I would use Blue, Johnson as a forecast and then you have to do on that tax, what would you say Stan mid 300’s?
Stanley Riemann: Yes, easily. I think they are still looking at easily -- high 300’s, low 400’s depending how you look at for UAN. It’s -- most forecasts are pretty robust clearing 2010 quite frankly for ammonia as well as UAN.
Operator: Thank you. Our next question comes for line of [Paul Carpenter] with [Summerford]. Please proceed with your question.
Paul Carpenter: Good afternoon. I have a couple of questions. First as it relates to the other no refining assets, the transportation and storage assets that at some point there was some discuss of potentially contributing to the LP. Do you have a value in mind for those assets, a transaction value or some kind of net asset value?
John Lipinski: We have not at this point, and I think that we will be precluded from talking about it because of our registrations payment. Just -- crude gathering, which is now in CVR Energy provides 20,000 to 25,000 barrels a day of a crude that is actually better in quality, then WTI at a price $3 or more below WTI and delivered into the refinery. So, you can incur some value from the gathering system we have terminals and we have some pipeline assets. The pipeline assets are actually related to our gathering operations. Unfortunately we have not -- it’s not unfortunate; we have not actually set down and set a price because we will have two different boards and that needs to be -- we all have two different set of shareholders and that needs to be done on a fairly arms length basis but it substantial.
Paul Carpenter: I understand that you haven’t set a price; would it be possible to give some kind of range to cut that even if it’s a wide range…
John Lipinski: I can just simply say that the profitability of -- if you look at crude gathering after expenses it’s over $3 a barrel on 20,000 to 25,000 barrels a day and then you can apply your own multiple to that.
Paul Carpenter: Okay, thank you and the second question had to do with basically the on-stream factor in the fertilizer side. The -- quite a robust price environment over the last two years and I understand there have been a lot of extreme factors. The volumes you have produce have been steadily declining and now it sounds like for the next couple of quarters you made the conscious decision to try the run more flat out. Can we expect over the long term the production volume on the fertilizer side to get back to those higher volumes a few years ago or what could we expect from that?
James Rens: The answer to your question is, yes. Last year was a turnaround we had a flood, we had several events during the year and as I stated earlier we had about five days of downtime in this quarter due to the air separation units, but we look to those -- I look to those most of those as onetime event, so I think historical rates that you saw in '06 was what I would expect as an operating for the plan.
Paul Carpenter: And I think, if I recall correctly, either ’05 rates -- just the volume metric was even higher than ’06 was is that normally high?
James Rens: I can’t recall I don’t have those in front of me. 2006 and 2007 have been significantly impacted by -- specially on ammonia, by taking progress in over the fence to the refinery and supplying the Ultra Low Sulfur Diesel units starting in October of 2006. So, as it relates to ammonia production Jack just mentioned that the CCR is lining that as we speak and running at very good rates and that means it’s starting to generate significant amount of hydrogen and that's hydrogen that’s been given back over to the fertilizer plant and should put it more back inline with those kind of daily rates that we were achieving back then
Paul Carpenter: Understood, I am just looking at the data for the combined periods of ’05 before I announce for the transaction. So, ammonia was 415 in ’05, 369 in ’06, 327 in '07 and UAN 663, 633, 577 so, looking back to '05 which is a more normal operating environment for you are those -- is that still a reflection of potential volume or you think it could to be higher.
James Rens: No, I think it’s an actual accurate reflection of potential volume in ’05
John Lipinski: And obviously we do have some capital work going on what fourth stage flash on the flat fall, which is just the clean up. We would hope to meet or exceed those ’05 levels again. We just recently stopped drawing hydrogen from the fertilizer plant over to the refinery with the CCR now being lined down and operating properly at high rates. Pretty much if you think about where ammonia is valued at, hydrogen is well over $10 a $.1000 a cubic feet; there is value in ammonia. So the refinery by now that CCR is running, they no longer have to buy that from the fertilizer plant and the fertilizer plan doesn’t sell it but gets converted into ammonia. Some of the dollar amounts however are reflected in some of the inter company transfers. So even though production is down the full value is actually going to achieved as we go forward and 2005 is actually pretty good year because there was no turnaround and no flood.
Operator: Thank you. Our next question comes from line of Aaron Edelheit with Sabre Value Management. Please proceed with your question.
Aaron Edelheit: Yes, I know maybe in the [Inaudible] but I was curious if you could give us some general outline as to whether the steps needed to be taken for the IPO and [Inaudible] and if there is a general timing, if you could give us some names of when the IPO may?
John Lipinski: Okay. Operator I don’t know if it’s the line for everybody but this line seems to have a lot of static, let me rephrase the question as I know it, is basically what is the status and timing of our MLP, if that was what I’m understood
Aaron Edelheit: Yes.
John Lipinski: Okay. Well, as everyone knows we have filed the registration statement with the SEC to place the fertilizer business in a public MLP, but in light of the ramp to fertilizer markets and the significantly improved earnings outlook for our fertilizer business since we first file that registration statement. We are reviewing alternatives available to us to maximize the value of the fertilizer business in a public environment. I mean we need to go back and revisit where we sit with all of that. In the short time that we have filed, the business has changed significantly. So it is not we’re not ignoring it. We are analyzing it make sure we maximize shareholder value.
Aaron Edelheit: Would you be able to discuss what are the options would be included?
John Lipinski: No, that might actually be considered promoting whatever we do come up with so, I'd rather remain silent and not impact anything with the SEC, if you don’t mind.
Aaron Edelheit: Okay. Last question, in terms of upgrading to an full UAN production. What is the timing on your project with that?
Stanley Riemann: 2010.
Aaron Edelheit: Will that be beginning 2010, by the end of 2010?
Stanley Riemann: No, by the middle I'd say the second, third quarter.
Operator: Thank you. Our next question comes from the line of Beth Evans with Platts. Please proceed with your question.
Beth Evans: My question has been answered. Thank you.
Operator: Our next question comes from the line of Jack Wagner, with MJX Asset Management. Please proceed with your question.
Jack Wagner: Yes. In regard to the cash flow obligation to JRN, you deferred I believe $124 million to August 31, 2008. Can you give me some feedback regarding or do you plan on making that payment on August 31 or do you expect to extend it and do you have the sufficient liquidity to pay it?
James Rens: Right now I think as you look at our cash flow projections and cash on hand and what we anticipate the operations and revolver to be it as we stated -- as we will state and as one is that we do think we have sufficient liquidity to pay it in full. Fairly it’s a volatile crude market today and as crude runs up in our business it increases our working capital demand and so we will continue to keep a close eye on where that is, but we have everything we need right now available including as we mentioned in the guarantees to make sure we can meet that liquidity payment.
Jack Wagner: And how much your -- what’s your outstanding under the revolver currently?
James Rens: Actually, right now we are not in the revolver
Operator: Thank you. Our next question comes from the line of [Anthony Europhino] with [Mousinic] and Company. Please proceed with your question.
Anthony Europhino: Hi, thanks. My question was answered. Thanks.
Operator: Thank you. Our next question comes from the line of Paul Sankey with Deutsche Bank. Please proceed with your question.
Paul Sankey: The hedging schedule, I see there is no changes to that, is it the same schedule that we have been working on previously?
John Lipinski: Yes. We are one quarter further towards the end of that long road.
Paul Sankey: I guess lets says that means you are not adding to it
John Lipinski: No, no. It remains the same; obviously we are looking at whatever opportunities may have revealed us and taking it off the sets of lead with crude running up, the cracks are running up and as you can see the impact from the hedge is showing in our earning statements. We look forward to the day we no longer have one.
Paul Sankey: One of the posts Jack last year was this basis differential -- you made a few kind of market observations on fertilizer, what about the outlook for that basis differential. I guess we can see on the future strip that this looks strong right down the line, but its harder for me to know whether or not basis is changing for you guys over that forward outlook?
John Lipinski: Okay if you look at distillate, if you look gasoline and distillate, last year was a particular strong year. If you looked at a three year average and these are round numbers so it’s not like I’m reading off of anything, so it stands correct my numbers; I am doing this from memory. But over a three year average that average base is differential -- we received in the mid continent was $3 and some odd cents a barrel, combine 211 Gasoline and Distillate. Those numbers in the first quarter were $1 and change, this quarter are $2 and change roughly. If you look at gasoline being negative and distillate being positive, so it maybe $2 round numbers I don’t have that statistic. Historically, going back three or four years it was less than a $1 typically. So, while it’s not as bad as it was in the past, it’s not as good as it was last year and Distillate continues to remains strong, Gasoline remains a bit weak
Paul Sankey: Yes, fair enough. I’ve got just on the various new projects you spoke about CapEx what was your expectations, for CapEx down this year? Is it still in line with, what you had previously guided, I am looking for the number here?
John Lipinski: I think the only thing that maybe moving is we actually have a change in some of the way we are going to be able to our Ultra Low Sulfur Gasoline. We are going to be able to do it as one project rather than a bifurcated project. So, some of the numbers may move around, but over the two years the number doesn’t really change; the only thing that we are looking at additional opportunities in the fuel and expansion. So, we are choosing to do more engineering up front and take a look at any other opportunities we may have. So, while the engineering money will withstand some of the capital may slide, but our two year capital program has not moved.
Paul Sankey: Which I think is $300 million, right?
John Lipinski: Roughly. I’m…
James Rens: That’s correct, that’s correct.
Paul Sankey: Just looking here some of the other one. One question that you just made this one -- honestly you have given this and treating this quite specific on the acquisition fronts about wanting you said sour or is it the heavy sour refinery, could you talk a little bit more about what kind locations you have consider as well?
John Lipinski: Well, we have obviously we would want the meth. We want to sell our plant that may have the ability to run some heavy sour but we don’t want a plant that’s going to require several $100 million. What we continue to see and we have just gone through a major expansion program, we have lived through the price escalation; there is still price escalation going on. Now there is some uncertainty about long-term cracks; I think they are going to return it. I think they will get better, I certainly do, but you could no longer pay the loft prices of $20,000 or $25,000 a crude oil equivalent barrel to expand the facility. So, we are being very, very careful because we believe that we may even have better opportunities on the ag side -- I am sorry side fertilizer side that we may actually have on the refining side for the next short period of time and we are keeping our options open. I do not want to take on an extraordinary amount of debt for this company, we are quite happy where we are at, our covenants are in great shape, we are able to fund or capital program and we think its best for our shareholders that we be cautious and judicious and not roll the dice right now.
Paul Sankey: Okay. Just jumping back on a kind of a housekeeping one, but the outlook for volumes in the refinery for the back half of the year, should we stick with 115,000 a day?
John Lipinski: Yes.
Paul Sankey: Okay and then just, you’ve said some very positive things about the fertilizers: firstly, could we expect you to capture those kind of prices, should we just punish them into the models?
John Lipinski: We have sold probably what between now and end of the year we have sold out about 85% or 90% of our remaining book. We do a lot of those distill orders. We are now taking -- what happens is there is, the industry in general the way this goes everybody sells at the same time, so when the ducks are quacking you feed them and then you hold back some volumes and you pick off the pops and that’s what we are doing. I mean we -- our book is going to average net back some where in the 320 to 330 range and our props are -- had been high as $400 a ton, I wouldn’t tell you we are selling a lot of that
Paul Sankey: Got you and that’s just for the CRI, we start the whole thing again next year?
John Lipinski: That’s right we have a little bit that goes into January.
Stanley Riemann: Out book goes into that mid January, but it’s our expectation that that pricing scenario that Jack talked about will carry into the spring season, which would be second quarter of ’09.
Paul Sankey: And without -- I don’t want to be too fussy, but the cost of goods sold in that segment jumped to quite considerably -- I would have thought -- I mean why would -- is it coke cost or something why is that going up so much?
James Rens: In the first quarter
Paul Sankey: Yes, I mean I just like seeing that the UANs jumped quite, I mean I guess its kind of understandable but I’m…
James Rens: A lot of that would -- the only items that you can see in the first quarter that coke remained fairly constant. Would have been changes in inventory can cause cost of goods sold to run up, we pulled down some inventory. In addition as freight rate increase they drive the cost of goods sold.
Paul Sankey: So, do we stick with what happened in Q1 or do we go back down again?
James Rens: We should hold back down because most of it is a result of the inventory fluctuations.
Operator: Thank you. Our final question comes from the line of Paul Carpenter with Summerford. Please proceed with your question.
Paul Carpenter: Hi, thank you. Just take up one follow-up question. Can you talk about the timing of the insurance recoverable for the flood? I just have some experience in other industries like Pacific Gulf Coast, casinos that were hit by the hurricanes in ’05 and in some cases it’s taken a very long amount of time to collect on some of these policies. What do you foresee?
James Rens: Well, I think our flood is broken in two pieces; one is property and one is environmental and those are two separate processes. We feel very good about the progress on the property coin and unfortunately, I don’t want to go into a lot of details given the process that you have to go through, but there has been very good progress made and I think we’re encouraged with the outlook on the property side; again we -- and that that we have a more optimistic view of timing of proceeds on the property side. On the environmental side, it’s really very hard to predict and although we continue to view our recoverability very strong and we continue to prove up to a probability standard to enable us to book the receivable. In effect the long-term portion that you see ,the 11.4 is related to environmental and we continue to carry the property as current and which would indicate the time that inside of the year.
Paul Carpenter: Okay. Thanks, and I am glad someone else to ask question about the change on the cost side in the fertilizers business because I was just looking the deals compared to their LP which I assume is a good comp because the same two products very close buying location, also a single facility entity and I just want to also ask about the comp to them in terms of price differential and you have been pricing at a discount to them. I don’t know if that’s because they are closer to transportation networks but the discounts seems to be widening, also that product shipped north so location won't be that much of initiative and can you close that differential that?
James Rens: I would say when you look at differential the probably the biggest driving factor of age of the order and if it so happen that if you look at -- I’m not familiar with their order book, but we have a number of orders in our order book that we are -- that we forward -- sold potentially longer than they had. The fundamental freight rates and that type such shouldn’t be as different as the primary driver would be deterring to gage in arriving markets they try to gage the age of the orders.
John Lipinski: While the other thing that the comp -- you may look it is as there is a comp, you have to look at how they've report. We report everything as 32% UAN net back to the facility. You have to go and dig through their numbers, the way they report, so that you’re looking at apples-to-apples and…
Paul Carpenter: I think that is I think that is 32 as well.
John Lipinski: Okay. Is it net back to their facility or is it to sales price that’s I don’t know.
Paul Carpenter: I know its 32, well I have to check that I’ll have to check that.
John Lipinski: Okay and then the other thing totally is remember when you get the cost of goods sold they use natural gas, so I mean if you say you have $10 of natural gas basically their production cost is $350 of tons and our production cost will probably be somewhere in the range of the $100 of ton that's not an exact number, but that’s kind of give you the relative difference between their production cost and our production cost.
Operator: At this time there are no further questions.
John Lipinski: Thank you all for joining us and as always we look forward to continuing our long relationship with all our investors.